Operator: Good day, everyone, and welcome to the American Superconductor First Quarter Fiscal 2021 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. John Heilshorn. Please go ahead, sir. 
John Heilshorn: Thank you, Sharon. Good morning, everyone, and welcome to American Superconductor Corporation's First Quarter of Fiscal 2021 Earnings Conference Call. I am John Heilshorn of LHA Investor Relations, AMSC's Investor Relations agency of record. With us on today's call are Daniel McGahn, Chairman, President and Chief Executive Officer; and John Kosiba, Senior Vice President, Chief Financial Officer and Treasurer. 
 American Superconductor issued its earnings release for the first quarter of fiscal 2021 yesterday after the market closed. For those of you who have not seen the release, the copies are available at the Investors page of the company's website at www.amsc.com. 
 Before starting the call, I would like to remind you that various remarks that management may make during today's call about American Superconductor's future expectations, including expectations regarding second quarter of fiscal 2021 financial performance, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those set forth in the Risk Factors section of American Superconductor's annual report on Form 10-K for the year ended March 31, 2021, which the company filed with the Securities and Exchange Commission on June 2, 2021, and the company's subsequent reports filed with the SEC. 
 These forward-looking statements represent management's expectations only as of today and should not be relied upon as representing management's views as of any date subsequent to today. 
 While the company anticipates that subsequent events and developments may cause the company's views to change, the company specifically disclaims any obligation to update these forward-looking statements. Also on today's call, management will refer to non-GAAP net loss, a non-GAAP financial measure. The company believes that non-GAAP net loss assists with management and investors in comparing the company's performance across reporting periods on a consistent basis by excluding these noncash, nonrecurring or other charges that it does not believe are indicative of its core operating performance. 
 The reconciliation of GAAP net loss to GAAP net loss can be found -- to non-GAAP net loss can be found in the first quarter of fiscal 2020 earnings press release that the company issued and furnished to the SEC last night on Form 8-K. All the American Superconductor's press releases and SEC filings can be accessed from the Investors page of its website at www.amsc.com. 
 With that, I will now turn the call over to Chairman, President and Chief Executive Officer, Daniel McGahn. Daniel? 
Daniel McGahn: Thanks, John, and good morning, everyone. I'll begin today by providing an update on our Grid and Wind business units. John Kosiba will then provide a detailed review of our financial results for the first fiscal quarter, which ended June 30, 2021, and provide guidance for the second fiscal quarter, which will end September 30, 2021. Following our comments, we'll open up the line to questions from our analysts. 
 At the top, I just want to say, I'm very excited about the progress we've been making on the REG installation in Chicago. Both teams have been working very well together, and I hope that we'll be able to update you soon. 
 We are growing and diversifying our business. Our Grid segment revenue for the first quarter of fiscal year 2021 grew by more than 30% versus the year ago period and accounted for over 90% of AMSC revenue. In fact, this was the largest grid quarter we have had ever. 
 Since the start of this fiscal year, we have been building momentum while further strengthening our backlog and extending our grid visibility well into fiscal 2021 and also a glimpse into fiscal 2022. This certainly is a very different and stronger business than it even was a few years ago. Our Grid business was driven by strong new energy power shipment -- system shipments as well as higher ship protection system revenues. Total revenue for the entire business grew by nearly 20% versus the year ago period. In fact, our first quarter revenue of approximately $25 million was our highest quarterly revenue in some time. 
 Just so people understand the numbers a bit better and the impact of Neeltran. Remember, we said that we expected that Neeltran would be accretive to earnings per share within 12 months from closing, not right away. Neeltran delivered revenues of about $5 million during the first quarter. This did come in line with our expectations. The operating cash flow number came in line with how we would anticipate that the business would typically operate in revenues of about $20 million per quarter. When John goes through the numbers, he will highlight this. And as you look at the guidance for next quarter, please keep this in mind. 
 We have integrated NEPSI nicely into the business. We are working to do the same with Neeltran. We are starting to see leverage between the product lines as evidenced by the recent $21 million in orders that were just announced,  which was driven by the mining and semiconductor markets. 
 To give you some color on these orders, nearly half of the orders come from mining and about 1/4 come from semiconductor fabs. We are getting leverage across the product line selling into mining. We are presenting more content and getting orders from semiconductor in the middle of what is a challenging period for supply chains while we're seeing an increase in capital investment to build semiconductor capacities. 
 These are 2 markets, mining and semiconductor, that may continue to be tailwinds for the business. As you'll see from our revenue guidance for the second quarter of fiscal 2021, we are anticipating growth. Given our current momentum in existing backlog,  we certainly could surpass the $30 million quarterly revenue level as soon as this fiscal year. Now that we've reached $25 million, we have our sights set on $30 million. 
 Our revenue backlog is more than 50% higher than this time a year ago, and we ended the first quarter with much more than $60 million in cash. 
 In fiscal 2021, we expect year-over-year revenue growth again in our grid and in our overall business. Our new energy power systems backlog is very strong. We are manufacturing ship protection systems for the first San Antonio Class ship platform, LPD, with our first delivery expected this year. We are supporting Inox with commissioning in the field and providing electrical control systems, or ECS, as they need and pay for it. And our South Korean wind partner has begun erecting offshore wind turbines, utilizing AMSC's 5.5-megawatt turbine design and ECS. 
 Our new energy power systems business has been supported by a strong base of projects in the renewable and industrial segments. Our systems have gained notable momentum, and we expect that they will drive growth and diversification for our company this fiscal year. Our new energy power systems include dynamic power correction platforms, our static power correction line of capacitor banks and harmonic filter systems as well as our rectifiers and transformers. Our dynamic power correction platform consists of our voltage management solutions. These solutions are focused on addressing renewable energy installations on the transmission grid and industrial installations like the semiconductor fab, which would reside on the distribution grid. We are presenting more content to customers as we leverage the strong combination of our new energy power systems solutions. 
 In May 2021, we acquired Neeltran, Inc., a Connecticut-based company that supplies rectifiers and transformers to the industrial market. The acquisition of Neeltran as well as it was with NEPSI, which we acquired last October, directly in line with our strategic priorities to accelerate profitable growth, independent of our wind business, broaden our product offering, and expand both market reach and content per sale. 
 We believe our new energy solutions will play an important role in accelerating us to being operating cash flow positive and position us, hopefully, for even more dramatic growth. 
 Our growth through grid strategy is working. Our business development and manufacturing teams are driving very hard. Our supply chain, so far, has been able to respond to the increasing demand for our new energy products. We work closely with the semiconductor industry on long lead items supply. To date, we have not felt impacts of the semiconductor shortage on shipments. 
 We continue to monitor our suppliers and try to work closely with them to make sure we don't miss a beat in production. We are seeing lead times trending upwards, but we believe that we have the time to react to this and have built that into our material flows. When many manufacturers rely on lean production, we believe for critical components, you cannot run so lean. I'm very happy that we've been running our business this way. We are starting to see product costs on the rise, specifically around commodity metals. This impacts every product of ours from the cabinets that enclose them, down to the materials used in the semiconductor wire. 
 We are proactively updating our prices where we can to include these additional costs. We can't adjust much against the backlog already established. But the good news is that, in most cases, we have either procured the material or have material contracts in place for a large portion of our existing backlog. 
 Moving forward on new orders. We are reviewing all our cost estimates and raising prices when appropriate. The markets in general understand that prices for many commodities have been rising, and we are adjusting accordingly. We anticipate that new energy shipments should provide a strong base of grid revenues in the second quarter as well as the balance of this fiscal year. This expectation is driven by the strong backlog that we have for new energy power systems as well as the overall Grid business. 
 Now turning to our Ship Protection Systems, or SPS. Our Ship Protection System is the Navy's baseline degaussing design for the San Antonio Class Ship platform, LPD. In fiscal 2020, we announced 2 separate delivery contracts for our SPS systems. These 2 contracts represent our third and fourth Ship Protection System orders for deployment on LPD 31 and LPD 29. The SPS is designed to reduce the magnetic signature of a ship, which can interfere with undersea mines' ability to detect and damage the ship. 
 AMSC has worked with the U.S. Navy to develop a lighter weight, more power-efficient high-temperature superconductor version of this degaussing system, the SPS we are now manufacturing for the Navy. The Navy's plan is to build 15 additional San Antonio Class ships starting with LPD-28. We are working very closely with the Navy and our supply chain to ensure timely delivery of our SPS orders. Our SPS team is very busy and focused on delivering our first systems. The San Antonio Class is our first design win with the U.S. Navy. Other potential platforms include, but are not limited to, carriers, frigates, destroyers and littoral ships. SPS grew and contributed to our strong Grid segment revenues in the first quarter of fiscal 2021. 
 Moving on to wind. Doosan is now erecting their first series production 5.5-megawatt offshore wind turbines utilizing AMSC's design as well as AMSC's ECS. We believe Southeast Asia is a geography well suited for our 5-megawatt class wind turbine and for our partner, Doosan. South Korea intends to become one of the world's top 5 offshore wind power producers, and we believe Doosan is well positioned for a very high market share. To date, there are wind farms in the development pipeline, which totaled nearly 9 gigawatts of wind capacity. We understand Doosan will supply wind turbines for the southwestern offshore wind project, which is a 2.5-gigawatt development and the Gunsan offshore wind farm, a 1-gigawatt development. Our team is working very closely with Doosan, and we look forward to potentially penetrating the global offshore wind market with this partner. 
 Regarding our onshore ECS business. We stand ready to support our partner in India as they need support commissioning new turbines or need new stock of 2-megawatt ECS. For now, we are supporting Inox with commissioning of 2-megawatt turbines in the field and providing ECS products as they need and pay for it. Let me note importantly today, we expect to ship 2-megawatt ECS in the second quarter. 
 Now I'll turn the call over to John Kosiba to review our financial results for the first quarter of fiscal year 2021 and provide guidance for the second fiscal quarter of 2021 which will end September 30, 2021. John? 
John Kosiba: Thanks, Daniel, and good morning, everyone. AMSC generated revenues of $25.4 million for the first quarter of fiscal 2021 compared to $21.2 million in the year ago quarter. Our Grid business unit accounted for 92% of total revenues, while our wind business unit accounted by 8%. Grid business unit revenues increased by nearly 33% in the first quarter versus the year ago quarter. The year-over-year growth is due primarily to the revenues generated from both of our acquisitions, NEPSI and Neeltran. Additionally, we experienced growth within our SPS product line. Wind business unit revenues decreased 45% in the first quarter versus the year ago quarter as a result of ECS shipments to Doosan during the year ago period. 
 Looking at the P&L in more detail. Gross margin for the first quarter of fiscal 2021 was 13% compared to 24% in the year ago quarter. The year-over-year decrease was due to an unfavorable product mix and additional costs related to purchase accounting adjustments associated with the Neeltran acquisition. 
 I realize that with the 2 acquisitions being incorporated into our financial statements over the last 9 months, it may be difficult to get a sense of what normalized gross margins may look like after the full integration of both NEPSI and Neeltran. To help you understand what a normalized consolidated gross margin could look like on this revenue profile, I've modeled AMSC's consolidated gross margins, assuming that Neeltran and NEPSI have gross margins consistent with similar product lines like D-VAR. In that scenario, consolidated gross margins for the company would be between 20% and 25%, depending on product-specific mix. 
 As a reminder, when we acquired Neeltran, we mentioned it would take up to a year from closing when Neeltran to be accretive to earnings. As we ship off existing Neeltran backlog and replace it with new orders, like the ones we announced on Tuesday, we expect to see Neeltran's gross margins improve considerably over the next 12 months. 
 Moving on to operating expenses. R&D and SG&A expenses for the first quarter of fiscal 2021 were $10.2 million. This was up from $8.1 million for the same period a year ago. The year-over-year increase was primarily the result of absorbing the operating expenses for both our NEPSI and Neeltran acquisitions. 
 Additionally, in Q1 of FY 2021, there were approximately $700,000 of acquisition-related expenses to complete the Neeltran acquisition. Approximately 13% of R&D and SG&A expenses in the first quarter of fiscal 2021 were noncash. 
 Our non-GAAP net loss for the first quarter of fiscal 2021 was $2.7 million or $0.10 per share compared with $2.4 million or $0.11 per share in the year ago quarter. Our net loss in the first quarter of fiscal 2021 was $5.4 million or $0.20 per share. This compares with $3.4 million or $0.16 per share in the year ago quarter. Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results. 
 We ended the first quarter of fiscal 2021 with $63.1 million in cash, cash equivalents, marketable securities and restricted cash. This compares with $80.7 million on March 31, 2021. Approximately $12.7 million in cash was used to acquire Neeltran in the quarter. Our operating cash burn in the first quarter of fiscal 2021 was $5.8 million. 
 I would like to take a moment to bridge the operating cash flow for this quarter. If you recall, when we announced the Neeltran acquisition, we stated that we anticipated Neeltran would be additive to AMSC's operating cash flow within 12 months from closing. Implied in that statement is that AMC would absorb Neeltran into the operations and it would take some quarters before we experience any meaningful cash contribution from this business. 
 To help normalize this quarter's cash flow, if we back out Neeltran's revenue in this quarter, AMSC's revenue is closer to $20 million in Q1 of FY '21. On that revenue profile, we would normally expect an operating cash flow of $3 million to $4 million. 
 With that said, we're anticipating revenue growth in both our Grid and Wind businesses over the coming quarters. As a result, we are investing in working capital to support this growth. This additional working capital investment is expected to continue into Q2, then we expect levelized working capital in the second half of fiscal 2021. 
 Now turning to our financial guidance for the second quarter of fiscal 2021. We expect that our revenues will be in the range of $24 million to $27 million. Our net loss on that revenue is expected not to exceed $6.7 million or $0.25 per share. Our net loss guidance assumes no changes in contingent considerations, not any purchase accounting adjustments associated with the Neeltran acquisition. 
 Our non-GAAP net loss is expected not to exceed $5 million or $0.18 per share. The company expects an operating cash flow of $4 million to $6 million in the second quarter of fiscal 2021.  We expect to end the second quarter with no less than $56 million in cash, cash equivalents, marketable securities and restricted cash. 
 With that, I'll turn the call back over to Daniel. Dan? 
Daniel McGahn: Thanks, John. The emergence of COVID-19 has created both operational challenges and macroeconomic concerns for all businesses. And now just after it seems we're getting back to business as usual, we see a surge in COVID cases due to this new virus variant. Throughout the past 18 months of the pandemic, AMSC has demonstrated it can operate effectively through times of crisis. We were early to implement physical separation at our manufacturing sites and did not miss a beat in production. 
 We instituted cleaning protocols for our offices to help keep everyone safe and healthy, which is paramount. We are focused on our people and the parts to make our products as well as on strong customer service and product quality. Our factories remain open and have been operational throughout the pandemic. 
 We have started fiscal 2021 on a very strong note. Grid represented over 90% of our revenue in the first quarter of fiscal 2021 and was our strongest grid quarter since we began reporting the Grid segment. Our new energy power assistance business is very strong, and we are beginning to see the initial benefits of our 2 recent acquisitions. 
 Bookings are off to a strong start for the year. We have Shipped Protection System orders for deployment on LPD 28, LPD 29, LPD 30 and LPD 31. We are supporting Doosan's efforts to penetrate the offshore wind market with our 5.5-megawatt turbine. We are preparing for our onshore wind partner, Inox, to transition to a larger 3-megawatt class wind turbine for deployment in India. 
 We are executing against our objectives, and that is to the credit of our employees due to their hard work and dedication. And I'm very proud of all the AMSC and ComEd employees that have worked very hard to make REG happen. We have delivered the REG hardware to the site in Chicago on time, and we believe many utilities are interested in seeing the performance of our product in Chicago. I look forward to reporting back to you at the completion of our second fiscal quarter of 2021. 
 Sharon, we'll now take questions from our analysts. 
Operator: [Operator Instructions] We'll now take our first question from Eric Stine from Craig Hallum. 
Aaron Spychalla: Great. This is Aaron Spychalla on for Eric.  Maybe first on REG, it sounds like we'll look for details there on the energization of that. But can you just kind of talk about the impact when that happens on maybe Phase 2, and you mentioned other utilities that are kind of interested in seeing how that performs. Can you just remind us of the opportunity there with other utilities as we look over the next couple of years? 
Daniel McGahn: Yes. I think it's an important step for the product being in a permanent installation, working with a world-class utility like ComEd and Exelon. We know there are other opportunities within the city of Chicago and within the broader Exelon utility. We know, as per our discussions with ComEd, they really want to see this thing operate at least a year before they go forward and make additional decisions. But the number of people that have been involved, the level of training, the level of deep conversations with such a broad group within the utility, gives me strong comfort that this is really a product that's needed now for the grid and solves a lot of those problems. 
 We're seeing, I'll say, an uptick in demand and identification of specificity of products -- sorry, projects for the product in other cities that we've talked about in the past. I think the team has done a very good job canvassing the United States to look for potential opportunities to deploy REG. But I do think it's now all gated by successful operation for at least a year in Chicago. 
Aaron Spychalla: Great. We'll stay tuned there. And then second question, with the infrastructure bill, can you just kind of talk about thoughts on that and how you might see that impact your business? 
Daniel McGahn: Yes. I think they all represent tailwinds. I think a lot of what we're doing is back in vogue. It's the type of infrastructure that needs to be spent on but there seems to be funding being allocated for clean and renewable energies as well as the systems like the grid that support them. So I think it's a very good time to be American Superconductor. 
Operator: We will now take the next question from Philip Shen from ROTH Capital Partners. 
Philip Shen: Just as a follow-up on the REG project. I think back in June, Daniel, at our virtual London event, you talked about -- made a comment in just a few weeks away and just I was wondering if you could give a little bit of detail as to -- if you're seeing any bottlenecks or challenges as you guys kind of get to the final stages. Or is mostly everything kind of running smoothly? And I know your original target was to get this done in the summer but I wanted to just check in to see if there's more detail you could share. 
Daniel McGahn: Yes. I think that still targets on track. I see all green lights. And I hope that we can report back to you guys soon with some news. 
Philip Shen: Okay. And then I think in your prepared remarks, you talked about mining and semiconductor end markets has been a nice source of steady demand ahead. Can you give us a little more color on what you might be seeing there? Are you seeing kind of more orders from the same customers you've had in the past? Or do you see the diversity of customers increasing or possibly both? And then would you say that these are key end markets to drive towards your target of $30 million per quarter run rate for grid? 
Daniel McGahn: Yes. Everything you said and the answer is yes. So we're seeing diversification of customers. We're seeing repeat customers. We're seeing expansion of content per sale given the acquisitions. But just to kind of talk briefly, when we think about doing semi, there is a fit to add NEPSI content to what we do traditionally with D-VAR. We are seeing an uptick in orders to do exactly that. So that part of the acquisition certainly is working. 
 Similarly, in mining, we see a lot of opportunities that have been coming through Neeltran, lot of opportunities coming through NEPSI. We're able to combine content on most of those opportunities, which again translates to even more revenue growth. We think that these acquisitions are a great fit to diversify our business. We love what we do in renewables and in wind, but we think we've added a few more markets here that we can go penetrate and deliver additional growth. 
Philip Shen: Great. And on that thread, in Q1, I think I heard you said that Neeltran did $5 million of revenue in the quarter. I was wondering if you could give us a more specific split of what your core revenues were for grid, and sorry if I missed it, and then perhaps what it was for each of the other recent acquisitions. 
Daniel McGahn: So we do break out wind. We don't break out the details within the grid. We did say that we added in Neeltran the $5 million, but we did say that the Ship Protection Systems grew. And that's kind of the length of the color that I can give you. 
Operator: [Operator Instructions] We'll now take the next question from Colin Rusch from Oppenheimer. 
Colin Rusch: In the Grid business with these integrations, can you speak to the cadence of the sales process? Are you seeing any shortening of the sales cycle? And then also, if you could give us an update on your conversion rate from pipeline into actual sales, how that's trending. 
Daniel McGahn: Yes. Those are really good questions, Colin. So I think what we're seeing is the cadence being kind of what we have thought. Typically, we think about our existing products closing anywhere around 6 to 9 months out. We see kind of similar timetables for NEPSI for some projects, maybe a bit shorter. We see similar timetables for NEPSI, but I'd say usually a bit longer, maybe as much as 9 or 12 months out. We do have some things that we're starting to book now that are 15 months out and more. 
 So I think what we're seeing is strengthening of the conversion and more clarity on what the year is going to look like, and we're really comfortable to stand behind what we said about growth. The conversion of the pipeline, I think really where the team has done some really good work is strong identification of what truly is in that near-term pipeline for things that we can close in the next 6 months. And we've seen, I'll say, an increase in the conversion rate or the win rate. And I think that's, again, a testament to being able to deliver more content to the customer. A lot of times in projects, it's much more about the timing and the financing of the project than it is really losing to other parties. But we see that with existing customers and new customers we're able to deliver quotes with more content, and that's being well received. 
Colin Rusch: That's super helpful. And then as you think about the medium term in that business, now that you've got a broader portfolio of solutions and I'm sure looking at a little bit of longer-term relationships with some of these customers, is there a really meaningful opportunity to evolve the portfolio and design out some of the components and some of the costs or evolve the performance of those solutions to serve a different need? 
Daniel McGahn: I think a little bit more of the latter. I think in the longer term, maybe some of the former are trying to find what that sweet spot is, particularly when we combine content from D-VAR plus NEPSI where we can buy content with Neeltran plus NEPSI. Are there ways to think about streamlining costs and supply chain? But really, we want to get the stickiness with the customer and to get the order size growing. So that the effort per order should be roughly the same, but the yield per order, we're looking to grow or enhance. So that's really the message that the team has. 
Operator: [Operator Instructions] It appears that there are no further questions at this time. I would like to turn the conference back to Mr. Daniel McGahn for any additional or closing remarks. 
Daniel McGahn: Thanks, Sharon. I really just want to emphasize with people today. We're really going for growth here. We're starting to see the beginning of that in what we reported out for Q1. You see in the guidance, clearly that we're looking to grow as well in Q2. You can hear in some of the remarks that we made, John made about working capital and preparing for growth that we see growth coming on the horizon. We're driving the team to become a much bigger business with these additional acquisitions. We are acknowledging today that's going to take time. And we said that on the outset when we bought these companies that it doesn't happen in a quarter to resolve it. 
 Good news is we inherited some great backlog with great customers. The challenge is how do we improve the financials on the orders going forward. And I was very proud that the team was able to generate even more orders this quarter than last quarter. I'm very proud that the backlog is expanding and the backlog is getting better financially. So we're really on the growth. And a lot of what we've talked about to put the company in position for the past few years, you're going to see that to come to fruition here in 2021 and certainly 2022 and beyond.  
 Happy with all the questions with REG. Really excited to hear about what's going on. And we'll leave it at that and look forward to getting back to you guys with how we do with second quarter operations. Thank you, everybody, for your support and attention. 
Operator: That concludes today's conference. Thank you, everyone, for your participation. You may now disconnect.